Operator: Good afternoon, ladies and gentlemen, and welcome to the C.H. Robinson Fourth Quarter 2023 Conference Call. At this time, all participants are in a listen-only mode. Following the company's prepared remarks, we will open the line for a live question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Wednesday, January 31st, 2024. I would now like to turn the conference over to Chuck Ives, Director of Investor Relations.
Chuck Ives: Thank you, Donna, and good afternoon, everyone. On the call with me today is Dave Bozeman, our President and Chief Executive Officer; Arun Rajan, our Chief Operating Officer; and Mike Zechmeister, our Chief Financial Officer. Dave and Mike will provide a summary of our fourth quarter results and our expense guidance for 2024. Arun will provide an update on our initiatives to improve the customer and carrier experience, improve operating leverage and increased focus on revenue management. And Dave will share the findings from his initial diagnosis of the company. From there, we will open the call up for questions. Our earnings presentation slides are supplemental to our earnings release and can be found in the Investors section of our website at investor.chrobinson.com. Our prepared comments are not intended to follow the slides. If we do refer to specific information on the slides, we will let you know which slide we're referencing. Today's remarks also contain certain non-GAAP measures and reconciliations of those measures to GAAP measures are included in the presentation. I'd also like to remind you that our remarks today may contain forward-looking statements. Slide 2 in today's presentation lists factors that could cause our actual results to differ from management's expectations. And with that, I'll turn the call over to Dave.
Dave Bozeman: Thank you, Chuck. Good afternoon, everyone, and thank you for joining us today. Our fourth quarter results did not meet our expectations as we continue to battle through a poor demand and pricing environment. But we made progress on a number of important initiatives, including charting our path forward. But let me address our results first. On our third quarter earnings call, we indicated the Q4 truck volumes in NAST could follow the normal seasonal pattern. And in fact, that is what occurred. Specifically, the average sequential Q4 decline in the Cass Freight Shipment Index over the past 10 years is 2.4%. Excluding the pandemic-impacted years of 2020 and 2021, the average sequential Q4 decline was 3.7%. In Q4 of 2023, the shipment index declined 4.3% sequentially and our combined truckload and LTL shipments declined less than the index at 3.5%. In Global Forwarding, we increased our ocean shipments on a year-over-year basis, but they were down sequentially as well, as they typically are in a fourth quarter. For the enterprise in total, the sequential declines in volume drove a 3% sequential decline in our Q4 AGP versus Q3. And this equated to $0.11 of our sequential EPS decline. Below gross profit, personnel and SG&A expenses were within the guidance ranges that we provided on our Q3 earnings call. Although personnel expenses were toward the high end of our guidance range. Sequentially, Q4 personnel expenses increased due to the reduction of our incentive compensation accruals in Q3 that we didn't expect to repeat in Q4, as was explained on our Q3 earnings call. SG&A expenses were down sequentially but slightly above the midpoint of our guidance. In total, the 3.7% sequential increase in our operating expenses equated to $0.13 of sequential EPS decline. The combination of all these changes in AGP and operating expenses, some of which were expected, drove the sequential decrease in operating income. Below operating income, there were a couple of significant items that negatively impacted our financial results and ultimately drove the remaining $0.10 of sequential decline in our adjusted EPS, namely non-cash losses on foreign currency revaluation and a higher income tax rate. Later in the call, Mike will share more details on these as well as provide guidance on our 2024 operating expenses. So that addresses why our Q4 results declined sequentially versus Q3. Now, I'll provide some additional details on our Q4 results in our North American Surface Transportation and Global Forwarding businesses. In our NAST truckload business, our Q4 volume declined approximately 1.5% year-over-year and 3.5% on a sequential basis. The weak demand environment in an elongated market trough combined with excess carrier capacity continued to result in a very competitive market. With the exception of the holiday weeks in Q4, the dry van load-to-truck ratio was around 2:1. And in the second half of the quarter, was the lowest the industry has seen in the past six years. With this environment at play in Q4, we targeted more truckload volume in the spot market, where we could capture more profit due to seasonal market tension. This led to a sequential improvement in our overall truckload AGP per load in October and November and for the quarter as a whole. Profit per load in December declined as expected as the cost of purchased transportation moves seasonally higher. For the quarter, we had an approximate mix of 65% contractual volume and 35% transactional volume in our truckload business compared to a 70/30 mix over the past three quarters. The sequential declines that we've seen in our truckload line haul cost per mile since Q2 of 2022 continued through November of 2023, before moving seasonally higher in December. On a year-over-year basis, we saw a decline of approximately 10.5% in our average Q4 truckload line haul cost per mile paid to carriers, excluding fuel surcharges. Due to the usual time lag associated with the resetting of contract pricing to follow spot market cost, our average truckload line haul rate or price built to our customers excluding fuel surcharges declined 13.5% on a year-over-year basis. With this price decline coming off a higher base than the costs, these changes resulted in a 29.5% year-over-year decrease in AGP per load. Moving into 2024, we will substantially increase our focus on revenue management objectives to better align revenue and cost in our contractual portfolio. Arun will share more on this in a little bit, but we intend to use our advanced pricing and contract management tools in a more surgical and disciplined approach as we navigate changing market conditions in the future with a focus on profitable growth. In our LTL business, Q4 shipments were down 0.5% on a year-over-year basis, and 3.5% sequentially. AGP per order declined 8.5% on a year-over-year basis, driven primarily by the soft market conditions and lower fuel prices. On a sequential basis, the cost and price of purchased transportation in the LTL market increased in Q4, primarily driven by the assets and capacity that have temporarily exited the LTL market. This resulted in a 3% sequential increase in AGP per order. In our Global Forwarding business, results continued to be impacted by the imbalance of soft demand and ample capacity. In Q4, our ocean forwarding AGP declined by 17.2% year-over-year, driven by a 20.5% decrease in AGP per shipment that was partially offset by a 4% increase in shipments. Compared to pre-pandemic levels, we have grown ocean market share by providing differentiated solutions and customer service and by leveraging investments in technology and talent, leading to the addition of new customers and diversification of the verticals and trade lanes that we serve. In the wake of the ongoing conflict in the Red Sea and low water levels in the Panama Canal, global supply chains are facing transit interruptions and vessel rerouting which is causing extended transit times and putting a strain on global ocean capacity. While the Asia to Europe trade lane has been most affected, the impact is extending to other lanes as carriers adjust routes based on shipping demand. As a result, ocean rates have increased sharply in Q1 on several trade lanes, including Asia to Europe and Asia to North America. While the Red Sea disruption continues without any clear timeline of when it will be resolved, the strain on capacity and the elevated spot rates are expected to continue through at least the Chinese New Year. As a global logistics provider with the scale and expertise to strategize and implement contingency plans, we're highly engaged with our customers to help them navigate the evolving situation and ensure flexibility and resilience in their supply chain. At some point, we expect that ocean pricing will loosen as new vessel capacity continues to enter the market in 2024. Looking ahead, we do not see any indications of a global freight volume upturn in the immediate future. In NAST, similar to the fourth quarter, the first quarter is typically characterized by a sequential decrease in ground transportation volumes. In fact, the average sequential Q1 decline in the Cass Freight Shipment Index over the past 10 years was 2.6%. As the global freight market fluctuates due to seasonal, cyclical, and geopolitical factors, we remain focused on what we can control by providing superior service to our customers and carriers, streamlining our processes by removing waste and manual touches, and delivering tools that enable our customer and carrier-facing employees to allocate their time to relationship building, value-added solutioning, and exception management. Our 17% improvement in NAST shipments per person per day in Q4, exceeded our stated 15% target and is an indicator of the progress that we've made on removing waste and manual touches. These efforts are also bearing fruit in other key areas of our business as Global Forwarding achieved a 20% year-over-year improvement in their Q4 shipments per person per month. Our continued focus on productivity improvement is one part of our plan to address and optimize our enterprise-wide structural cost. And we expect to carry our productivity momentum into 2024. Our commitment to deliver quality and continuous improvement to our customers continues to be validated by net promoter scores in 2023 that were the highest on record for the company, which we believe puts us in good position with customers ahead of the eventual rebound in the freight market. Our customers continue to value the quality, stability and reliability that we provide as they work to optimize their transportation needs. They want a partner who has financial strength and the ability to invest through cycles in the customer experience. They also want a partner who can meet their increasingly complex logistics needs by providing expertise and a breadth of innovative solutions enabled by technology and people that they can rely on to serve as an extension of their team. C.H. Robinson is that partner, with a combination of people, technology, and scale to deliver an unmatched customer experience, and with the breadth of capabilities to meet all their logistic needs, including value-added solutions for cross-border freight, drop trailer capacity, and retail consolidation. As we continue to improve the customer experience and our cost-to-serve, I'm focused on ensuring that we'll be ready for the eventual freight market rebound, with a durable cost structure that decouples volume growth from headcount growth and drives operating leverage. In order to further eliminate productivity bottlenecks in the highest leverage areas, we're focused on a handful of concurrent workstreams that will deliver an improved customer experience through process optimization. These focused workstreams are an example of how the leadership team and I have made changes to drive focus so that we position ourselves for growth in our core business. Our commitment to continuously improving the experience of our customers and carriers and eliminating inefficiencies from our processes will make us a company that is faster, more flexible, and more agile in solving problems for our customers, delivering better customer service, and creating operating leverage and profitable growth. I'll turn it over to Arun now to provide more details on our efforts to strengthen our customer and carrier experience, and our revenue management practices and improve our efficiency and operating leverage.
Arun Rajan: Thanks, Dave, and good afternoon, everyone. As Dave said, we continue to execute on a handful of concurrent workstreams that are addressing significant opportunities to eliminate productivity bottlenecks and to deliver process optimization and an improved customer experience. Two of the workstreams on the productivity roadmap are aimed at quoting and order entry. In both areas, we are reducing manual touches and our response time to customers driving faster speed-to-market and higher customer engagement. In addition to our past learnings, we're leaning more heavily on Generative AI to deliver process improvements. In our order entry workstream, we're utilizing GenAI to translate structured and unstructured emails, PDFs, and Excel files that we receive from customers and their vendors into orders on our system. This solution fills in customer-specific requirements based on their past history and customer-specific prompts and scenarios entered by frontline teams who know the customers' business. GenAI puts the power of large language models into the hands of our front-line teams, rather than relying solely on data scientists to train models for unique customer requirements. While our preference is still to receive an order via API or other structured electronic means, there's large variability in how customer orders are transmitted. And this new method allows customers to have an interaction as though we receive their order via structured electronic means even when they choose to email an order to us. With more data and history to leverage than any other 3PL, we have opportunities to harness the power that Generative AI now offers to further capitalize on our information advantage, and we'll continue to look for and pursue those opportunities. Another area where we've advanced our capabilities is in touchless appointments where we've introduced technology to automate the entire process. This technology also uses AI to determine the optimal appointment based on transit time data from our millions of shipments across 300,000 shipping lanes, facility data such as peak dwell time and the most convenient time windows for carriers. This advancement saves shippers a considerable amount of time, enables them to achieve higher service levels and saves them money by avoiding chargebacks or fines they might face due to freight arriving too early or too late. In addition to an improved customer experience, our efforts are increasing the digital execution of critical touch points in the lifecycle of an order from quote to cash, thereby reducing the number of manual tasks per shipment and the time per task. This translates to productivity improvements, measured in terms of shipments per person per day, which creates operating leverage. As Dave mentioned earlier, we surpassed our 2023 goal of a 15% year-over-year improvement in NAST shipments per person per day with 17% improvement achieved in Q4. As we deliver further process optimization and an improved customer experience, we plan to deliver the compounded cost structure benefits of additional 2024 productivity improvements of 15% NAST and 10% in Global Forwarding with technology that supports our people and processes. As Dave also mentioned, revenue management is a key focus for us as we navigate this difficult freight market. With continued investment in our pricing science and contract management technology over the course of 2023, we're now in a better position to respond to dynamic market conditions with the tools and capabilities we've developed. In 2024, we will increase our rigor and disciplines of the application of these tools and capabilities. These tools, together with our scale, data and customer and carrier relationships underpin our revenue management function through which we can be more surgical in how we approach customer discussions and how we implement a disciplined pricing and profitable growth strategy based on individual customer value propositions. With that, I'll turn the call over to Mike for a review of our fourth quarter results.
Mike Zechmeister: Thanks, Arun, and good afternoon, everyone. The soft freight market outlined by Dave resulted in fourth quarter total revenues of $4.2 billion and adjusted gross profit or AGP of $618.6 million which was down 20% year-over-year, driven by a 24% decline in NAST and a 14% decline in Global Forwarding. On a monthly basis compared to Q4 of 2022, our total company AGP per business day was down 24% in October, down 20% in November, and down 13% in December. Turning to expenses, Q4 personnel expenses were $361.8 million, including a $1.3 million favorable restructuring charge adjustment, primarily driven by the significant devaluation of the Argentine peso prior to completing the divestiture of our Global Forwarding operations in Argentina. Excluding these reversals, our Q4 personnel expenses of $363.2 million were down 10.5% year-over-year, primarily due to our cost optimization efforts and lower variable compensation. Our average Q4 headcount was down 13.3% year-over-year, including double-digit decreases in NAST, Global Forwarding, and our All Other and Corporate segments. Ending headcount was down 12.4% year-over-year to 15,246. As Dave mentioned, the sequential increase in our Q4 personnel expenses was included in our guidance. Although Q4 personnel expenses were within our guidance range, they came in at the higher-end due to the achievement of certain objective bonus targets, for example, delivering results on cost-reduction initiatives. Moving to SG&A. Q4 expenses were $149.4 million, including a $2.9 million reversal of restructuring charges, also driven by the peso deflation prior to completing the divestiture of our Global Forwarding operations in Argentina. Excluding the reversal, SG&A expenses were $152.3 million, a decline of 5.8% year-over-year, primarily due to reductions in contingent worker expenses, and were down 2.6% sequentially. As you recall from our Q1 earnings call in April, we raised our cost-savings commitment to $300 million from $150 million which was defined as the net annualized cost savings by Q4 of 2023, compared to the annualized run rate of Q3 of 2022 which is when a commitment was originally made. With the progress on our 2023 productivity initiatives, we delivered $346 million in cost savings for the full year excluding restructuring charges with the majority of these savings expected to be long-term structural changes. Consistent with our strategy, we believe these cost savings will improve our operating leverage and help our margins as demand and a more balanced freight market return. Turning to our 2024 annual operating expense guidance. We expect our personnel expenses to be $1.4 billion to $1.5 billion. At the midpoint, this is up 0.2% compared to our 2023 total of $1.447 billion excluding restructuring charges. The personnel expense drivers in 2024 include two items that are expected to offset each other, the restoration of target incentive compensation related to the expected improvement in financial performance will be offset by continued productivity improvements across the business, and lower headcount as the team continues to decouple volume growth and headcount growth. 2024 SG&A expenses are expected to be in the range of $575 million to $625 million, down 0.8% at the midpoint, excluding the restructuring charges in 2023. This includes 2024 depreciation and amortization expense that is expected to be $90 million to $100 million. Although most of our SG&A expenses are subject to inflation, we expect continued cost reduction efforts to offset the inflationary impact. Shifting to expenses below operating income. Our Q4 interest and other expense totaled $38.1 million, which was down $4.3 million, or 10.1% year-over-year. Q4 included $21.6 million in interest expense, which was down $3.1 million, or 12.6% versus Q4 of 2022, driven by $394 million of debt reduction compared to Q4 of '22. Another factor that drove Q4 other expense was an $18.5 million loss on foreign currency revaluation and realized foreign currency gains and losses, which is compared to a $16.9 million loss in Q4 of 2022. The Q4 loss was driven primarily by weakness in the Argentine peso and euro relative to the US dollar. As a reminder, our FX impacts are predominantly non-cash gains and losses related to intercompany assets and liabilities. On a sequential basis, FX had an unfavorable impact of $18.4 million and included an $8.9 million loss related to the significant devaluation of the Argentine peso prior to exiting the business in late December. As you recall from our third quarter earnings call, operating in Argentina had become challenging due to its strict monetary policies and currency devaluation. The divestiture mitigates our exposure to the deteriorating economic conditions and the increasing political instability in that region. As a part of the divesting of our operations in Argentina, we converted the business to a local independent agent to ensure continued service to our customers with shipments in that region. There were also a couple of large one-time tax-related items that impacted our results in Q4. Our Q4 tax provision of $38.3 million included a tax settlement of $19.2 million and $4.7 million of tax expense related to the Argentina divestiture. In regard to the tax settlement, the company came to an agreement with the I.R.S. Appeals division on a tax position related to tax incentives for domestic investments in the years 2014 through 2017. Although we maintained that our software investments were supportable deductions, we were only offered a partial settlement, factoring in costs of litigation, expert advice, and that other companies who have challenged similar positions have experienced unfavorable results. We decided it was in our best interest to settle the issue. The company has no ongoing financial exposure relating to this specific deduction as it was eliminated from the tax code beginning in 2018. Excluding these one-time tax expenses, our effective tax rate came in at 19.5% for the quarter and 15.0% for the year, compared to 19.3% in 2022. Our lower tax rate in 2023 was primarily driven by our -- by lower pretax income and incremental benefits from foreign tax credits. We expect our 2024 full year effective tax rate to be in the range of 17% to 19%. Q4 adjusted or non-GAAP earnings per share of $0.50 excludes $23.9 million of one-time tax expenses, $8.9 million of foreign currency losses on divested Argentina operations, and the $4.3 million reversal of restructuring charges. Turning to cash flow. Q4 cash flow generated by operations was $47 million, compared to $773 million in Q4 of 2022. The year-over-year decline in cash flow was primarily driven by changes in net operating working capital. In Q4 of 2022, we had a $650 million sequential decrease in net operating working capital, driven by the sharply declining costs and price of purchased transportation. In Q4 of 2023, we had a $7 million sequential increase in net operating working capital. In Q4, our capital expenditures were $16.1 million compared to $27.8 million in Q4 of 2022. We expect 2024 capital expenditures to be $85 million to $95 million. We've returned $74 million of cash to shareholders in Q4, which was down 85% year-over-year, primarily due to the decline in cash from operations. Now onto the balance sheet. We ended Q4 with approximately $1.0 billion of liquidity comprised of $840 million of committed funding under our credit facilities and a cash balance of $146 million. Our debt balance at the end of Q4 was $1.6 billion, which was down $394 million since the end of 2022. Our net debt to EBITDA leverage at the end of Q4 was 2.34 times, up from 2.10 times at the end of Q3, driven by the lower EBITDA. Our capital allocation strategy is grounded in maintaining an investment grade credit rating, which allows us to optimize our weighted average cost of capital. Our $619 million in debt paydown since Q3 of 2022 has helped maintain our strong liquidity position and investment grade credit rating. Keep in mind that the cash that we use to reduce debt generally reduced the amount of cash for share repurchases. Overall, I'm encouraged by the much needed progress that was made on our 2023 productivity initiatives and the plans in place to build on that progress in 2024. With the 17% productivity improvement delivered in NAST and the 20% productivity improvement in Global Forwarding in 2023, combined with an expectation of an additional 15% in NAST and 10% in Global Forwarding in 2024, each business is expected to deliver compounded productivity improvements of 32% or better over the two-year period. A robust pipeline of process technology and waste elimination initiatives continues to be acted upon. By leveraging Generative AI combined with machine learning to take the capability of our people to an even higher level, Robinson is positioned well to further reduce waste and drive structural cost changes that improve our operating leverage and help deliver on the long-term operating income margin expectations. With that, I'll turn the call back over to Dave for his final comments.
Dave Bozeman: Thanks, Mike. We shared a sentiment of some of our peers in that we're happy to say goodbye to 2023. And although 2024 still presents some of the same challenges and headwinds, I'm excited about the work that we're doing to reinvigorate Robinson's winning culture. Over my first six months here, I completed my initial diagnosis and we're taking actions to chart our path forward. At a high level, we need to focus on both our customer value proposition and revenue generation, and our structural cost, and we need to aggressively seek the optimal balance. Let's review my findings. First, our structural cost base grew too much during the pandemic and we made significant progress on reducing that cost structure in 2023, but it needs to continue to improve. We will do that by embedding lean practices, removing waste and expanding our digital capabilities. This will enable us to strengthen our productivity and optimize our organization structure in order to be the most efficient operator in addition to the highest value provider. Second, as I listen to our customers, it's clear that their logistics needs are becoming increasingly complex and robust capabilities are required to power vertical-centric and value-added solutions. I have found that C.H. Robinson has people with deep expertise in the freight market and long standing trusted relationships with our customers and carriers. This is a competitive advantage, but we can do a better job of leveraging our unique expertise and information advantage and advance our cutting-edge technology to deliver more robust capabilities and market leading outcomes. Third, we need to focus on profitable growth in our four core modes, North American truckload and LTL, and global ocean and air as the engines to ignite growth by reclaiming share in eroded segments and expanding our addressable market through value-added services and solutions that drive new volume to the core modes. And fourth, we need to drive better synergies across our portfolio of services to accelerate profitable growth. One way that we're going to do this is by improving how we go to market as one company with unified account management versus showing up as distinct business units. Our journey to unlock the power of our portfolio is underway as we take action on all of these fronts. One example of this is the recent launching of our Enterprise Strategy Program Management office and the addition of Jim Reutlinger to the senior leadership team to lead our strategic approach to our critical planning activities. Jim is an expert in continuous improvement and lean methodology and he brings learnings from his leadership experience at Danaher, a company with a well-established reputation for continuous improvement. Jim will help us drive lean principles and continuous improvement deeper into the organization and create growth and success in our strategic priorities. I continue to see an opportunity for the company to reach its full potential and create more shareholder value by improving our value proposition, increasing our market share, accelerating growth, further reducing our structural cost, and improving our efficiency, operating margins and profitability. I'm confident that together we will win for our customers, carriers, employees and shareholders, and I'm incredibly excited about our future. This concludes our prepared remarks. I'll turn it back to Donna now for the Q&A portion of the call.
Operator: Thank you. In order to let as many callers ask questions as possible, we ask that you limit yourself to one question. [Operator Instructions] Our first question today is coming from Brian Ossenbeck of JPMorgan. Please go ahead.
Brian Ossenbeck: Hey, afternoon. Thanks for taking the question. Dave, maybe I can just ask you to give a little more context around the rationale of pivoting more to the spot market. You've been running a little bit harder in contract for longer, so just wanted to see what changed in terms of why you went that route and then maybe tying on to that, the revenue management focus things would be really important, especially given we all know what happens when the market recovers, contracts get squeezed. Last cycle, Robinson had a pretty big headwind from negative files. So wanted to hear if this new focus was potentially going to limit that eventuality as we see the market turn? Thanks.
Dave Bozeman: Hey, Brian, I'm going to have Arun jump in and address your question. Thanks for the question, by the way.
Arun Rajan: Yeah, Brian, I think the way we look at it is it's opportunistic, right? I mean, where the -- where we can get profitable demand, we will go. And there was an opportunity in the spot market, so we went there. As it srelates to revenue management, ultimately, as you know, the market is soft and so it's a very, very competitive environment. And the reality is, I think everybody's in this situation where prices are low, costs are also low. And I think what we have to think about it from -- think about from a revenue management perspective is sort of the short term and the long term. I mean there's two different perspectives. Right. And so seasonally we expect around the holidays costs to go up and then settle back down. What's different this year is the winter storms and such have kept costs a bit elevated. But regardless, in the short term, we have contracts, we have commitments, and based on our revenue management objectives, our value proposition to the customer and certain customer attributes, we make a determination on when we reprice certain targeted lanes. In the short term, we don't see an inflection in the market. So we're not really triggering any major repricing other than making sure we're trying to grab as much volume as we can in the spot market. But the revenue management sort of -- discipline will really kick in if there's a true sustained inflection in the market and we don't quite see that yet.
Operator: Thank you. The next question is coming from Jack Atkins of Stephens, Inc. Please go ahead.
Jack Atkins: Okay, great. Thanks for taking my question. And first, Mike, I just want to say really enjoyed working with you and congratulations as you move on to the next phase of your career. I guess, a lot of different ways we could go with this, I guess, would love to get your thoughts on just broadly the first quarter. We've had -- Arun, to your point, things have tightened up here in January with the winter storms. We've seen some volatility in the Global Forwarding markets as well. How does that impact -- how has that impacted your business through January? Are you seeing AGP get squeezed a bit? Could you maybe walk us through what you're seeing in the business so far this year?
Arun Rajan: Yeah, Jack, thanks for the question. Sort of building on my response to Brian. January, we have this -- I think we all know this, there's a seasonal cost increase as capacity comes out of the market for the holidays. We expect that to generally settle down by the second week of January or latest by mid-January. And we haven't seen that. Well, we've seen that in markets that are not affected by adverse weather, but where there has been weather, storms that were unexpectedly -- that were just unexpected or worse than what were -- what was expected, what we're seeing is a lot of cost pressure and essentially capacity pressure, increased load to truck ratios, increased cost per mile in those markets. Now we're starting to see that ease up and dissipate as the weather sort of dissipates. And so, from our perspective, everything that we see in the data suggests that any cost increases that we saw in January are purely a function of weather. Because like I said, we see that weather impacted areas have this capacity strain versus non-weather impacted regions. So -- but as these storms dissipate and cost per mile comes back down, I think we're back to where we expected this year to be in terms of costs. And so in terms of revenue management, and how we think about that in the short term, we could make a decision to go reprice customers, but the idea is to honor commitments so long as changes in the costs are short term. However, if we see that this sustains, our revenue management will kick in. And based on sort of our revenue management objectives, the value we provide customers and customer attributes, we will have to do targeted repricing.
Jack Atkins: Okay, got it. And then, Arun, could you maybe touch on the Global Forwarding side of it as well, just because there's been volatility there too?
Mike Zechmeister: Hey, Jack, I'll chime in on that. And first of all, thanks for your comments, I appreciate it. Feeling is mutual. Yeah, just before I go into Ocean, just maybe add a comment on the truck side. And I think one point to be made about where we're at and the AGP that's coming in for us both in Q4 and then into January, is the emphasis on the point about this elongated trough and its impact on our contract business in particular. And if you look at cycles from the past that aren't as prolonged as you're coming down and then coming back up, the older contracts that you have in your portfolio still have higher pricing. One of the differences here is this elongated trough has caused time to pass such that we've repriced pretty much our entire portfolio. So what's different is we have more contracts now at current market price than we would normally have at this point in the cycle. And that's suppressing the margin, even with normal activity underneath. And it's really just a mechanical reflection of an elongated trough. So I just wanted to throw that in there also. Then over -- on the Ocean side, yeah, a lot going on there. Obviously, you read about what's going on in the Red Sea. We've got water depth issues in Panama Canal, and that has caused a lot of the capacity to be rerouted, which I think we would consider to be a temporary capacity disruption on the Ocean side, which has really led to some increased pricing, both at the end of Q4 and then into January in the marketplace. I don't think that we see that as being demand-driven at this point, and it's really probably a temporary capacity disruption. So I think after we get past Chinese New Year and with the additional capacity that's also coming in in 2024, I think you'll see some kind of normalization there. The other point I'd make on Ocean is that the composition of that business from contract to spot is very different than what we have in truckload. In fact, in the Ocean side, we're only about 20% contract as opposed to what we were quoting on the truckload side at 65%. So that's just another difference to keep in mind. And that means we're able to benefit from the increased spot market in Ocean more immediately than we are on the truckload side.
Jack Atkins: Okay, thank you very much. Really appreciate it, guys.
Operator: Thank you. The next question is coming from Jon Chapelle of Evercore ISI. Please go ahead.
Jon Chapelle: Thank you. Good afternoon. So clearly this tough market had an impact on others as well. Those are not as well as financially secure as C.H. Robinson is. We've seen some bigger names go out of business. I'm just wondering now, as this elongated market reaches almost the third year, are you seeing any desperation in some of the newer or maybe even established competitors out there that's creating an even more either volatile or kind of punitive pricing environment? And if so, what's the opportunities and risks to you in that type of backdrop?
Mike Zechmeister: Thanks for the question, John. Let me take a cut at that. So you're right, it is a very stressed market and one of the things that we believe may be an advantage to us in this stressed market is that we're still investing. We're still putting our money down on the pipeline of projects that we intended to do. In fact, as we try to increase clock speed, we're doing some of those projects concurrently. And so while others may be looking to cut to kind of hang in there, weather the storm, we're continuing to make ourselves better with the idea that when we emerge the inevitable turn here, we'll be stronger as we come out. Wouldn't comment on anybody specifically in there in the pinched front, but boy, we certainly hear about it. We see it. The implications out there are clear given where we've been and how long we've been there.
Jon Chapelle: Okay. Thank you.
Operator: Thank you. The next question is coming from Chris Wetherbee of Citi. Please go ahead.
Chris Wetherbee: Hey, thanks. Good afternoon, guys. It looks like from a cost perspective, as you think about 2024, that you're guiding OpEx to be roughly flattish year-over -year. I think you guys have also said that you're not necessarily expecting a freight rebound coming in 2024, at least as far as you can see in the relative near term. So I guess I was just trying to square that up. Obviously, you guys have added a lot of costs for COVID, Dave, as you noted. So as you think about sort of the opportunity here, is flat enough for 2024, and maybe you can help us give some perspective of what the longer term might look like on a cost basis.
Mike Zechmeister: Yeah, Chris, let me take a cut at that. So appreciate the question. There are some offsetting things going on here. One is that we've got restoration of our incentives in 2024, and we've got normal inflation that's hitting, and so we're offsetting that. And to break it down and just be a little more specific about your question, on the personnel side, the midpoint of our guidance is up 0.2% versus where we landed in 2023 ex-restructuring. And on the SG&A side, we're down 0.8% at the midpoint versus where we landed ex-restructuring in 2023. But we absolutely have to improve our cost structure. We continue on that path. The productivity numbers that we generated, the 17% in NAST and 20% in GF, as you heard, continue into 2024, 15% on NAST and another 10% on GF. So we're talking about over 30% on a compound basis in both businesses here over the two-year period. So the efforts continue. We do expect some rebound in the market, so that we'll have some volume pickup there as well. But we got to continue to head down the path that we've been on.
Dave Bozeman: Yeah, Chris, just to add on to what Mike said, we're also looking at this to, as we've said before, is really position ourselves to be in a strong pole position for the market rebound, and we feel good about where we're headed there. Best data we have is back half of this year. If we start seeing that inflection, we're driving our cost structure to have really that operating leverage put us in a great position as well as continue to go after structural cost while creating that balance. So I feel really good about that and the things that we're putting in place to drive that. So thanks for the question.
Chris Wetherbee: Okay. Thanks.
Operator: Thank you. The next question is coming from Stephanie Moore of Jefferies. Please go ahead.
Stephanie Moore: Hi. Good afternoon. Thank you. I was hoping that you could maybe touch a little bit on what you're seeing kind of bid environment, where it stands today and how it's been trending and those conversations have been going. And on the other side, would love to get your thoughts on what you're seeing in terms of capacity exits. I think we all are pretty aware of what's going on on the demand side, but capacity exits have been much slower for the last year. So would love to hear your thoughts on kind of where that stands today. Thanks.
Arun Rajan: Yeah. Thanks for the question, Stephanie. In terms of bids, there's a variety. Customers come in their own forms and there are different customers with different approaches. A lot of customers want resilient pricing in their contracts. So, meaning, like, they know the market is going to turn at some point and they want to price some of that prediction in such that the contract doesn't have to be repriced, whereas others want to be more aggressive and want us to quote, based on what the market looks like today, understanding that none of us have a crystal ball. So there's a variety of contracts and variety of customers in terms of the bid environment. Having said that, the way we approach pricing any of these contracts is obviously a combination of our revenue management objectives, the attributes of the customer, things like their customer lifetime value and so on. And finally, the value proposition that we deliver. So on balance, we have to consider all those things in terms of how we respond based on what the customer is asking for, such that we can sustain through the contract in a way that meets our objectives. And in terms of capacity coming out of the market, Mike, do you want to take that?
Mike Zechmeister: Yeah, sure, Stephanie, I'll cover that. So, one of the interesting differences in this cycle has been the delay in the capacity on the truckload coming out. But the good news is we are starting to see that kind of normal behavior, the capacity coming out. There's a little bit of momentum in that space. It hasn't significantly impacted pricing yet, but we'd expect that to come. Just by way of example, one of the things that we track is new carrier sign-ups. Last year we were about 9,100 in Q4, and we're about half that, a little less than half that here in this past Q4. So would expect that to continue. When you think about -- on the Ocean side, I think it's a little bit different story where there'll probably be a net capacity increase in '24 on the Ocean side.
Stephanie Moore: Helpful. Thanks so much.
Operator: Thank you. The next question is coming from Jeff Kauffman of Vertical Research Partners. Please go ahead.
Jeff Kauffman: Thank you very much. And thank you for laying everything out so clearly today. I want to revisit David's assessment and in particular the focus on the core four. Is there an implication here that we're applying the 80/20 rule and those are the four businesses that we really want to drive, or is the implication here that we're going to simplify the structure at Robinson? And if you're not part of the core four, then eventually that might not be a business we're in in the long run.
Dave Bozeman: Hey, Jeff, thanks for the question. Yeah, let me double-click on that a little bit more here. The implication as we're looking forward is about what you said the first time. It's about focus for where we want to go. Our focus for this company is truckload, LTL, Ocean, and Air. And that doesn't mean -- I mean, we have a lot of other feeder type of businesses that will help to drive the growth of those key businesses that I spoke of. And that's really what our focus is going to be about. Now you're going to always look at things and evaluate them and say what's the best for the company from an operational perspective and long term. But focus is about really truckload and it's about LTL, Ocean, Air and maximizing the feed of those particular businesses. So that's really where I'm doing, and I'm constantly evaluating the entire company on that.
Jeff Kauffman: Okay, that's my one. Thank you for the clarification.
Dave Bozeman: You got it. Thank you.
Operator: Thank you. The last question today is coming from Bruce Chan of Stifel. Please go ahead.
Bruce Chan: Thank you, operator, and good afternoon, everyone. Dave, you talked about one of your big findings, I think it was number four, as being the opportunity to drive some better synergies across the portfolio. Maybe if you could just talk about how many of your customers today are using multiple service lines and where that number could go, or if you're thinking about that in a different way, like what the revenue synergy opportunity could be, I'd love to get some color on that too.
Dave Bozeman: Yeah, Bruce, thanks for the question. The -- today if you look at -- let's just focus on our two largest businesses, which really kind of drive overall for Robinson, in NAST and Global Forwarding. We track today our customers. Half of our customers use essentially both NAST and Global Forwarding Services are driven by [half] (ph). So what we're looking at is that the opportunity there, while that's good, we think that there's a opportunity for more wallet share that we have there by unlocking the potential of those services. And as I look at this, showing up in a more synergistic fashion, which is something that I notice going forward, our customers really want that. They want solutions to complicated problems that they have in their supply chain. We can offer that, and I think that separates us out. But showing up as kind of a la carte or individual solutions, I think while we're generating some value there, there's more value we get by really showing up as a suite of services to solve more complicated, deeper issues for the customer. And that's why we're focusing on that. We have good momentum and energy around that, and we have some structured things that we're doing already within the company to drive and unlock some of that value.
Bruce Chan: I appreciate the color. Thank you.
Operator: Thank you. We actually do have time for an additional question. The next question is coming from David Vernon of Bernstein. Please go ahead.
David Vernon: Hey, good afternoon. Thanks for fitting me in here. Just a real quick question. It doesn't sound like we're given any sort of explicit guidance for the year, which I totally understand and respect given the uncertainty that's out there. But I'd love your thoughts on whether sort of the exit rate of fourth quarter here is kind of as bad as it gets, or do we expect it to get a little rockier? And then any thoughts on how we can translate the productivity numbers you guys are giving us in terms of 32% compound into profitability? Thank you.
Mike Zechmeister: Yeah, thanks, David. So I would say a couple of things on that. We have a history of giving you expense guidance across the business. So we give you personnel, SG&A, CapEx, depreciation, amortization, tax rate, but we don't give AGP. And that's really because of the volatility that we all experience in this business and the difficulty in predicting the macro demand and capacity elements that drive the pricing there. So we've tried to stay away from that. Part and parcel to that, to your question about we're here in the trough, how long does the trough last? When do we come out of it? We provide some guidance on our website about where we think pricing is going, but again, we're doing our best to forecast where we're at, but those things are very difficult to know with certainty. And so kind of the same element there of the comments that we've made, I think our back half of the year is when things start to really turn around the truck.
Operator: Thank you. At this time, I'd like to turn the floor back over to Mr. Ives for closing comments.
Chuck Ives: Thank you, everyone, for joining us today. That concludes today's earnings call. We look forward to talking to you again. Have a great evening.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log-off the webcast at this time and enjoy the rest of your day.